Operator: Good day and welcome to the NetEase Third Quarter 2014 Earnings Conference Call. Today's conference is being recorded. At this time, I'd like to turn the call over to Ms. Brandi Piacente. Please go ahead.
Brandi Piacente: Thank you, operator. Please note the discussion today will contain forward-looking statements, relating to future performance of the company and are intended to qualify for the Safe Harbor from liability as established by the U.S. Private Securities Litigations Reform Act. Such statements are not guarantees of future performance and are subject to certain risks and uncertainties, assumptions and other factors. Some of these risks are beyond the company's control, and could cause actual results to differ materially from those mentioned in today's press release and this discussion. A general discussion of the risk factors that could affect NetEase's business and financial results is included in certain filings of the company with the Securities and Exchange Commission, including its annual report on Form 20-F. The company does not undertake any obligation to update this forward-looking information, except as required by law. As a reminder, this conference is being recorded. In addition, a webcast replay of this conference call will be available on the NetEase corporate website at ir.netease.com. I will now turn the conference over to Mr. Onward Choi, Acting Chief Financial Officer, who will read the prepared remarks on behalf of Mr. William Ding, Chief Executive Officer of NetEase.
William Ding: Thank you, Brandi. Before I begin, please note that for the purposes of this discussion, all percentages are based on renminbi. Our portfolio of traditional online and growing mobile offerings continued to be embraced by China's dynamic online market place. During the third quarter, our revenues increased 32.3% year-over-year and 12.7% sequentially with growth across each of our three business segments. Our growth was led by our online gaming services, which grew 16.8% and our advertising services, which grew 60.1%. We also saw an increasing contributions from our email, e-commerce and others business, which improved by 252.5% compared with the same period last year. During the third quarter, we continue to see compelling user statistics for a number of our self-developed games and we were also encouraged by the adoptions of our mobile games. Our strategy to increase our focus on mobile games and broaden our market reach is also progressing well, as we ramp up R&D and marketing expenses in third quarter. Look at some of our individual game performance. We saw standout performance in the third quarter from the PC and mobile versions of Fantasy Westward Journey II as well as our mobile card battle game, Mini Westward Journey. New Westward Journey Online II also delivered a strong performance as users welcome the introduction of an expansion pack in July. As well as and an item-based version that came out in August. For our licensed games, Blizzard Entertainment's Hearthstone, Heroes of Warcraft, performed well, and we rolled out Curse of Naxxramas, Blizzard's first solo adventure for this game, in July. We continue to work closely with Blizzard to bring exciting new games to Chinese audiences, and an early test version of Blizzard's free-to-play, online team brawler Heroes of the Storm was launched in China in October. We are also looking forward to the Chinese launch of the fifth expansion for Blizzard's World of Warcraft, Warlords of Draenor on November 18, 2014. Our games are designed to withstand the pass of time and engage our users in new and interesting ways and attract new users. The introductions of new expansions pack and unique game play are key to accomplishing the skills. During the third quarter, we launched new expansion packs for New Westward Journey Online III, Ghost II, Heroes of Tang Dynasty II and Heroes of Three Kingdoms. We have also released a handful of expansion packs, so far this quarter. In October, we released an expansion pack for Fantasy Westward Journey II and a comprehensive upgrade of The Legend of Tibet and earlier this month, we released another expansion pack for New Westward Journey Online II. For the remainder of the year, we have a number of new release plan to have extend the longevity of our games and encourage new players to join our gaming community. To name a few, we are currently planning to release new expansion packs for Tianxia III, Heroes of Tang Dynasty II and Legend of Fairy. For us the fourth quarter, we also plan to release new mobile titles that build on the successful September release of mobile games such as Stay Calm! My Lord! and Dark Blade. We are also excited to commercially launch our first-person shooter Crisis 2015 in the fourth quarter. Next in the queue, is our 3-D oriental fantasy MMORPG, Revelation. Beta testing for this game has result in very positive feedback so far and we continue to develop this exciting new game in preparation of its commercial launch. We have done additional MMORPG under development. This game offers players and all-new warfare gaming experience and we will begin first-round testing later this year. As we have discussed on previous calls, the mobile market in China is thriving. Looking our social networking platform YiChat, an ideal vehicle for integrating our mobile applications and services. During the quarter, we continue to introduce a number of new and exciting functions. This new capabilities such as video chat and integrated community photo sharing are being well received by each end users. This supports our growing user base and increase activity levels on this platforms. Our focus remains on introducing new features that fit in our Fresh Social Life strategies. With that in mind, you can expect to see even more differentiate and innovative social networking functions incorporated into YiChat in the future. Looking at our prosperous advertising services business. The top performing advertising verticals in the third quarters were automobile, food and beverage and financial services. We saw additional monetization from our mobile user applications and 2014 Fifa World Cup. Which directly supports revenue growth from this business segments in the third quarter? Our email service is also demonstrating steady momentum and by the end of the third quarter, we have 710 million internet users. Additionally, we are very happy with the rapid growth of our e-commerce business during the period. Over the past few quarters, we have seen a considerable increase from this business driven by e-commerce sales. We continue to look for ways to diversify and expand our offerings for the traditional online community and is rapidly expanding mobile counterpart. At the same time, we remain dedicated to our roots of introducing innovative products and services. Key investments in our marketing and research capabilities enable us to further just go [ph], position us well for our next wave of growth. As we near the end of the year, and look to 2015. We are focused on introducing top quality offerings that diversify our portfolio with complementary products and services that support our growth and strengthen our pipeline. This concludes William's update. Now I will provide a review of our third quarter financial results.
Onward Choi: I will primarily focus, under discussions of margins and expense fluctuations along with net profit. Total sales tax for the third quarter of 2014 were RMB 209.2 million or $34.1 million compared to RMB184.4 million and RMB157.7 million for the preceding quarter and the third quarter of 2013, respectively. The year-over-year and quarter-over-quarter increases in sales tax were mainly due to the increase in our total revenues. Gross profit for the third quarter of 2014 was RMB2.3 billion or $367.9 million compared to RMB2 billion for the preceding quarter and RMB1.7 billion for the third quarter of 2013. The year-over-year and quarter-over-quarter increases in online games gross profit were primarily driven by increased of revenues from certain of our self-developed games such as Fantasy Westward Journey II and New Westward Journey Online II as well as from our various mobile game products. The year-over-year and quarter-over-quarter increases in advertising services gross profit were primarily the results of strong demand from the automobile, food and beverage and financial services sectors. The monetizations of our mobile news applications and other mobile applications as well as advertising revenues related to the 2014 Fifa World Cup. The year-over-year and quarter-over-quarter increases in email, e-commerce and others gross profit were primarily attributable to an increase in revenues from our e-commerce business. Gross profit margins for our online game business for the third quarter of 2014 was 77.2% compared to a gross profit margins of 77.6% and 79.7% for the preceding quarter and third quarter of 2013 respectively. The year-over-year decreased in gross profit margins was mainly due to increase in revenue contributions from both mobile games and license game as a percentage of our total online game revenues. Our gross profit margins for the advertising services business for the third quarter of 2014 was 66.3% compared to a gross profit margins of 60.9% and 50.4% for the preceding quarter and the third quarter of 2013 respectively. The year-over-year and quarter-over-quarter increases in gross profit margin were mainly due to enhance, the economies of scale driven by revenue growth. Gross profit margins for the e-mail, e-commerce and others business for the third quarter of 2014 was 49.6%, compared to a gross profit margin of 35.7% and 4.1 % for the preceding quarter and the third quarter of 2013, respectively. The year-over-year and quarter-over-quarter increases in gross profit margin were mainly due to increased revenue from our e-commerce business, which has a relatively higher gross profit margins. Our total operating expenses for the third quarter of 2014 were RMB1.1 billion or $172.6 million compared to RMB823.7 million and RMB635.2 million for the preceding quarter and third quarter of 2013 respectively. The year-over-year increase in operating expenses was mainly due to increase the selling and marketing expenses for our e-commerce business and advertising services promotions most of which were related to our mobile news applications and in 2014 Fifa World Cup. Promotions of our online and mobile games as well as staff-related research and development cost resulting from an increased and the number of employees and average compensations. The quarter-over-quarter increase in operating expenses was mainly due to increase the selling and marketing expenses for our online games and e-commerce business as well as higher staff-related research and development expenditures and share based compensation cost. For the third quarter of 2014, we recorded a net income tax charge of RMB197.3 million or $32.2 million compared to RMB97.9 million and RMB206.5 million for the preceding quarter and third quarter of 2013 respectively. The effective tax rate for the third quarter of 2014 was 14.4%, compared to7.4% and 16.5% for the preceding quarter and the third quarter of 2013, respectively. The year-over-year decrease in the effective tax rate was mainly due to the fact that certain of our subsidiaries were approved as Key Software Enterprises in the fourth quarter of 2013 and are subject to a preferential tax rate of 10% for 2014. The quarter-over-quarter increase in the effective tax rate was mainly due to the fact that we recognized certain tax credits related to annual tax filing benefits in the second quarter of 2014, most of which comprised extra tax deductions for research and development expenses approved by the tax authorities. We also had a net foreign exchange gain of RMB2.2 million or $0.4 million in the third quarter of 2014 compared to net foreign exchange loss of RMB20.2 million and the net foreign exchange gain of RMB5.9 million for the preceding quarter and the third quarter of 2013 respectively. The quarter-over-quarter and year-over-year changes in foreign exchange gains or losses were mainly due to exchange gains or losses of rising from our foreign currency denominated bank deposits, short-term loan balances as the exchange rate of the US Dollars gains to RMB fluctuated over the periods. Our Net profit for the third quarter of 2014 totaled RMB1.2 billion or $188.8million compared to RMB1.2 billion and RMB1 billion for the preceding quarter and for the third quarter of 2013, respectively. We reported basic earnings per ADS of $1.45 and diluted earnings per ADS of $1.44 for the third quarter of 2014. Our basic and diluted earnings per ADS were $1.50 each for the preceding quarter and $1.31 each for the third quarter of 2013. As of September 30, 2014 our total cash and time deposits balance was RMB20.4 billion or $3.3 billion compared to RMB18.6 billion as of December 31, 2013. Our cash flow generated from operating activities was RMB1.1 billion or $186.9 million for the third quarter of 2014, compared to RMB1.2 billion and RMB1 billion for the preceding quarter and the third quarter of 2013, respectively. In addition, as of September 30, 2014 we had a loan from an offshore bank in the principal amount of $90 million that was secured by RMB deposits of the Company in an onshore branch of this bank in the amount of RMB614.2 million, which was recognized as a short-term investment. We continue to return value to our shareholders and are pleased to announce that, in line with our quarterly dividend policy. The Board of Directors has approved a dividend of $0.36 per ADS, we expect to pay this on December 5, 2014 to shareholders of record as of the close of business on November 28, 2014. Thank you for your attention. We would now like to open the call to your questions. Operator, please go ahead.
Operator: [Operator Instructions] we will go first to Alicia Yap with Barclays
Alicia Yap – Barclays Capital: My first question is regarding your e-commerce business and other revenue lines. Obviously, which almost doubled sequentially and is actually catching up very quickly on your advertising revenue? So could you give us some color in terms of how much and how big was the lottery business this quarter and what are the market opportunity in this virtual e-commerce business that you guys have and other than lottery, is that meaningful one is also the car [ph] insurance and now also any color on this line and how this segment will grow, will be appreciated?
Onward Choi: So thank you, Alicia for your questions. So with regard to our performances on the revenues performance in third quarter, especially on the e-commerce and other revenues. Of course, a very big portion of that would be coming out from our lottery businesses and we also uphold a very positive will about this growing potentials and growth in the upcoming periods. And on the other hand, you also mentioned about the growth especially on our advertising segments, which we are also very – feel happy about it, given the fact that there has been some major events happening around across in between in second and the third quarter, with regard to the Fifa World Cup, which made about a good contribution there and on the other hand, there has also, the demand from advertisers to go along with using our mobile news applications, which we also see a good growth there. And overall, apart from the email, e-commerce and others business segments, we see a good growth there. The advertising and our gaming business are also performing much well in the third quarter. 
Alicia Yap – Barclays Capital: So can I follow-up on the advertising revenue, then what is or could you share in terms of the percentage of revenue coming from mobile devices and also since you guys are doing many things right and which allow you to grow this business segments instead better than you peers, which advertising vertical that you think, you're actually gaining some market share?
Onward Choi: Well, just as what we have previously mentioned in the second quarter about our contributions on the mobile fronts, on our various business segments or business lines. We do see that, for the advertising fronts. There has been a good growth quarter-over-quarter and also year-over-year, but at the moment, we haven't yet this disclosed the exact percentages of it, but we are quite happy with this growth performance over the past quarters.
Alicia Yap – Barclays Capital: Okay, so just last questions from me, is on the World of Warcraft. Have you seen any resilient from the user after the price increase in October? And then, when you released the Heroes of the Storm later, where do you think the gamers will come from, should we worry on any potential cannibalizations of the World of Warcraft gamers? Thank you.
Onward Choi: So basically the price increase, that we have just – become effective in October has also proved to be a very successful receptions in the market and given the fact that, we would have another new expansion coming out soon on November 18, which is the brief expansion set for the World of Warcraft, Warlords of Draenor. We do look positively upon to a [technical difficulty]. 
Alicia Yap – Barclays Capital: Okay, great. Thank you so much. 
Operator: Next we will go to Jialong Shi with Credit Suisse 
Jialong Shi – Credit Suisse: First of all congratulations, on the success of your mobile game [indiscernible], which I think has touched to number one spot on iOS App Store ranking by gross revenue. My question is about your mobile games, just wonder how much of your game revenue was generated by mobile games in Q3 and how much of the mobile game revenue was contributed by NetEase proprietary channel and how much from third-party app stores. [Foreign Language – Chinese]
Onward Choi: So in terms of our mobile games revenue contributions out of our total game revenues, it has come to around 9% as of the third quarter 2014.
William Ding: [Foreign Language – Chinese]
Onward Choi: And we do look upon that, this trend will still be growing in the upcoming periods and we look positively upon to it.
William Ding: [Foreign Language – Chinese]
Onward Choi: On the other hand, the distributions, would mainly be coming out from our own internal resources and from our official website and stuff like that. 
Jialong Shi – Credit Suisse: Thank you for the color. I will get back to the queue.
Operator: Next we will go to Eddie Leung with Merrill Lynch 
Eddie Leung – Bank Of America Merrill Lynch: Just one question. I understand that, usually when you launched new games. The sales and marketing cost would go up, but this quarter I remember on the [indiscernible] some of the marketing expenses would be related to other pieces like e-commerce, so just wondering if you could share more color on what exactly you have in doing in terms of promoting your e-commerce as far as your mobile news applications. And how should we think about the potential fluctuation in sales and marketing expenses in the upcoming one or two quarters? Thanks.
Onward Choi: So basically, our view about our spending on the S&M front is that, there are quite a lot of new products and services that we offer to the market and you will also see that in the third quarter, that there has been quite an increase in terms of the spending on various fronts. And on the advertising because we have been spending on promoting our brands and there has also been some mega events happening around, which is the Fifa World Cup and with more promotions on promoting our own mobile news applications and so this will be an area, that we have increased the spending there and on the other hand, with regard to our e-commerce related business segments because we also brought our lottery products in place and we have also make good use of both online and offline resources to promote our products. We've also took getting very good feedback from the markets and responses and we do see that, both segments have been growing quite well in the past quarters and we are also looking forward that, this trend will still be upkeeping in the upcoming periods.
Eddie Leung – Bank Of America Merrill Lynch: Got that. thank you.
Operator: And next we will go to George Meng with Morgan Stanley 
George Meng – Morgan Stanley: Two questions related to your games. First one is regarding your PC game, basically you already launched the item-based version of your new Westward Journey Online II this quarter and I just wonder, are you going to launch more item-based versions of your existing PC games, especially some of your high contributing PC games going forward because that thing, obviously most of the other companies are doing all item-based and they're also trying to convert some of your free time-based to item-based? That's the first question. Thanks.
Willing Ding: [Foreign Language – Chinese]
Onward Choi: So with regard to your first questions, basically for now Tianxia II [ph] principally two time-based games namely Fantasy Westward Journey and also Westward Journey Online II both of them are principally operating on the time-based model and we have also try out one which is the Westward Journey Online II on the item-based mode. And basically, if we to further expand the footprint in this area or this directions, the other games would hopefully be the Fantasy Westward Journey's, but having said that, we believe the focus or the concentrations from our, from the company's perspective is to praise the importance of the user experiences, at a higher positions, rather than defining or rolling out games, whether they're running on time-based model or item-based models. And after all, NetEase has been in the marketplace of operating the time-based model games for over 12 years by now, and we have been quite successful in this area and we do see that, the users and players are still quite happy with this kind of game options to choose from. 
George Meng – Morgan Stanley: Got it and my second question is related to your mobile game, especially Hearthstone. Can you give us any update on the performance of Hearthstone, this quarter and also for the Hearthstone mobile phone version because it's now delayed by Blizzard, just wondering is there any impact to on your launch schedule and do you actually expect like simultaneous launch with other leading markets, when Blizzard actually launched that mobile phone version of Hearthstone going forward? Thanks.
Onward Choi: Well, basically I think for the performances of Hearthstone in the past quarters. I think it's still upkeep as a very healthy levels and we are still quite happy to see the acceptance from the market as such and if in the fact that, there has been some new introduced game mode for the place to choose from, we do still see that, the appetites from the market is still very good. Although, you mentioned that there has been slow play [ph] on certain mobile versions of it, but currently we do not see they would pose any significant impact to the over performances of this game.
George Meng – Morgan Stanley: Okay, got it. Thanks, that's very helpful.
Operator: We'll go next to Tian Hou with T. H. Capital
Tian Hou – T. H. Capital LLC: I've a couple question, one is related to mobile game distribution as you know current point. It is most of your mobile game through your own platform and if we look back, PC stage, a lot of mobile game at that time, they were distributing by themselves and later on, we thought the distribution start to concentration and actually a lot of big players, if a longer [ph] big player and Tenzen [ph] become much more concentrated player because their distribution power, so I wonder in mobile stage as we're still early on mobile. So what do you see the trend, is the distribution also going to be become a consolidated concentrated and become a major part of a development of mobile game. [Foreign Language – Chinese]
William Ding: [Foreign Language – Chinese]
Onward Choi: So basically just to recap, the main highlights that William has replied to Tian's question. Basically, no matter we are talking about the PC or the client-based games or the mobile games. One is the most important matter, would be the product itself and we will try to say it as the product-based game or the content-based game and basically, if the company would be able to roll out or to develop and launch some first tier products to the market, they will possess the capabilities to attract a good user base, the players to come to the product itself and they would be quite sustained, to the game itself. Just now, you also mentioned about and examples of what Tenzen [ph] has been doing and we do acknowledge that they've got three games, three license games that has been doing quite well in the market for now. Well, this has also come up after a long time experiences to find out, what would we expect, in the space. We do see that in a much longer term. What is more important is to provide a very good and high quality services to our users and we do see that, the distributions in some ways is not that importance of the qualities of the game itself. You also mentioned that for the client-based games, the distributions capabilities is somehow is quite strong in some ways, but we also see that for the mobile games. This can also be achieved in the way that because this is a less complicated, and it will be much easier for the users or the players like to do the download, store and play the games and we do see that, it can outreach to the computer users much easier and so we do see that, this would still be the trend going forward. 
Tian Hou – T. H. Capital LLC: [Foreign Language – Chinese] so Onward, I still have one question related to sales and marketing, R&D. So I realize as you spend more hiring more people, spend more money developing and promoting your new product and I wonder, going forward as a percentage of revenue, how should we see this two lines. 
Onward Choi: Well, first of all, I would like to reiterate that because we do not give out any formal guidance's on our various financial metrics and so, what or what I was trying to give you the colors with the somewhere around these strategies and the directions on how the companies would be viewing on how to spend on the different categories of expenses like the S&M or the R&D. In this year, this is a very meaningful year especially for that news because we have been putting quite a lot of big matters [ph] in terms of belongings, a couple of mobile games and some new client-based game alike. At the same time, we also see there has been some good tractions, both in terms of our portal business as well as our e-commerce related businesses as well and which means that, this would be a year, where we would investing more to – with the future opportunities ahead, that we look upon to be very positive for growing the company's business in the upcoming periods. And so, what I would say is that, in terms of sales and marketing, we will still upkeep and a very active assets in order to invest in our different business segments. In order to, build up our own brand, the image and to put our different product and services to our targeted audiences and at the same time, we will also be exploring some new opportunities ahead. And as for the R&D expenses, in the third quarter you will see that, it has come up quite a bit because usually this would be the period of the seasons, where we would get the new intakes from the market and we also see that in the third quarters, that has quite a base increased in terms of the headcounts to give up the overall workforce to cope with the business growth and expansions ahead. And just to give you a sense on the size of our R&D team, in the last quarters, which means that for 2014, we have kind of mentioned that. We have around 2,400 R&D people within the company and after the third quarter, the new intakes of the new directors [ph] to bring up our own R&D people for now, we have around 3,400 R&D people. 
Tian Hou – T. H. Capital LLC: Okay, that's very helpful. Thank you. That's all my question.
Operator: We will go next to Alex Yao with JP Morgan 
Alex Yao – JP Morgan: Just very quick question on the mobile gaming revenue accounting. How do you guys account for mobile gaming revenue? Thank you.
Onward Choi: So basically, the simple answer to it, is that we've been taking the gross basis direct method revenue.
Alex Yao – JP Morgan: Okay, all the mobile gaming revenue will be put on the gross basis, you guys have or do you have any plan to book it under net-net basis?
Onward Choi: Well, I think for now, this is what we will be doing based on our game portfolios. 
Alex Yao – JP Morgan: Okay, what will be the rough gross margins, operating margins for your mobile gaming business?
Onward Choi: Well, I think we wouldn't break them up separately for the mobile games categories, but basically. We do see, you would also see that in the third quarter, we have still upkeep as a relatively healthy levels of the gross margins, given the fact that, there has been a growing contributions from the mobile games.
Alex Yao – JP Morgan: Is it fair to say, it's a slightly less profitable the in-house developed PC games, but a better than the licensed PC game?
Onward Choi: I think, this would be a fair assessment. 
Alex Yao – JP Morgan: Thank you. 
Operator: And we will go next to [indiscernible] with Macquarie.
Unidentified Analyst: [Foreign Language – Chinese] To just summarize my questions. I have two questions. firstly, just want to get a sense on the mobile game launching plan and the development objective in terms of your focus and also to clarify the 9% of the mobile revenue, how much is for advertising and how much is for mobile games. And second question is related to, what are other – mobile apps that's going to contribute monetization in the next two years. [Foreign Language – Chinese] 
William Ding: [Foreign Language – Chinese] 
Onward Choi: So basically, Jiang [ph] with regard to your first questions, maybe I answer it one-by-one. first of all, just to give you some clarity on the 9% numbers, this would mainly related to the mobile games contributions and with regards to the upcoming Q4 launch, just as what William has highlighted just now, because we have quite a handful of various games that are going to come up to the market in upcoming periods and so, we do have a scheduling as such and it wouldn't be that easy to give you a fast answer on this call, but perhaps we can organize something to give you a sense at a later point of time. And apart from the mobile games initiatives, there would also be some other game initiatives that we will be rolling out in the fourth quarter. One of them would be the special set [ph] for the World of Warcraft and another one would be our own client-based games that we have dropped the plan to launch in the fourth quarters and just as what we've highlighted earlier in today's earnings call. The client-based games would hopefully be the revelations and another would be the Crisis 2015, which is the first-person shooter games and just hold on for the second questions.
William Ding: [Foreign Language – Chinese]
Onward Choi: So basically with regard to your second questions, about our mobile apps developments or the performance so far, up-to-date. Basically we are quite happy with, our all categories of applications that we have launched so far in the market. Whether we are talking about say Dictionary, the Cloudnote and just to highlight one is about our mobile news applications in the third quarter. We have also been ranked up by and organizations as said, number one, users in terms of the usage of this applications. And another thing with regard to the Dictionary [ph] on the 4 November, the Youdao Dictionary has also launched another 4.0 version about the new functionalities to the market and we do look upon that, this from a good attraction there. And apart from that, other than the gaming initiatives, we on the some other areas that we have been working on so far including the music, the EaseRead and also the YiChat, we have also made some good progress and developments there as well.
Operator: And we will go next to Wendy Huang with Standard Chartered Bank 
Wendy Huang – Standard Chartered Bank: [Foreign Language – Chinese] So my first question is about the price increase, have you done price increase for all your time-based game already. If not, is there any time-based games that that you may still do the price increase in future and also, the way you do the price increase on a regular basis going forward. My second question is about your game live broadcasting business. It seems that recently you blocked third-party to broadcast your major games and also at the same time, you stopped broadcasting other third party game as well. So what's the rationale behind this change and how will this affect your game operation going forward. Thank you.
William Ding: [Foreign Language – Chinese]
Onward Choi: So with regard to the first question is on the price increase for the time-based games, on the self-development games front. Basically, we have already done it, in February or the last year in the Chinese New Year in 2013 for the Fantasy Westward Journey and also Westward Journey Online game and in 16 October, 2014. World of Warcraft another game that has been in operations in the markets for over eight years, but now has also made another price increase and basically, this would be the current status of the price increase area and we thus, no other plans for revising the price for our time-based games. And with regard to your second questions about the game broadcasting businesses. Basically, we would like to highlight that, NetEase has put a very top priorities to invest in this area and which we always believe that, it will be a fun and good things for the players to enjoy for watching this kind of broadcasting materials or the clips. We also focus on the qualities of producing such kinds of video clips for the users or the players who like to watch over and another point is that, we'd like to highlight is that our broadcasting platforms is open to all people and where we welcome people to make use of this platforms to broadcast difference videos as such. And there is no questions of being that we have make it to be very close move of running this broadcasting services. 
Operator: And that is all the time we have for questions tonight. I would like to turn the call back over to management for any additional or closing remarks.
Brandi Piacente: Thank you once again for joining us today. if you have any further questions, please feel free to contact Cassia Curran, NetEase's IR manager, based in Hangzhou or The Piacente Group, Investor Relations. Have a wonderful day.